Operator: Good morning, and welcome to the Spire Second Quarter Fiscal Year 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note this event is being recorded. I would now like to turn the conference over to Scott Dudley, Head of Investor Relations. Please go ahead.
Scott Dudley: Good morning, everyone, and welcome to our fiscal 2023 second quarter earnings call. We issued an earnings news release this morning and you may access it on our website at spireenergy.com under Newsroom. There’s also a slide presentation that accompanies our webcast, and you may download that either from our website or from the webcast site. On our site, you’ll find it under Investors and then Events and Presentations. Before we begin, let me cover our Safe Harbor statement and use of non-GAAP earnings measures. Today’s call, including responses to questions, may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although our forward-looking statements are based on reasonable assumptions, there are various uncertainties and risk factors that may cause future performance or results to be different than those anticipated. These risks and uncertainties are outlined in our quarterly and annual filings with the SEC. In our comments, we will be discussing net economic earnings and contribution margin, which are both non-GAAP measures used by management when evaluating our performance and results of operations. Explanations and reconciliations of these measures to their GAAP counterparts are contained in both our news release and the slide presentation. On the call today is Suzanne Sitherwood, President and CEO; Steve Lindsey, Executive Vice President and Chief Operating Officer; and Steve Rasche, Executive Vice President and CFO. Also in the room today are Scott Carter, President of Spire Missouri; and Adam Woodard, Vice President and Treasurer and CFO of our Gas Utilities. With that, I’ll turn the call over to Suzanne.
Suzanne Sitherwood: Thank you, Scott, and good morning, everyone. It’s a pleasure once again to provide our quarterly update on Spire’s performance, recent developments and our outlook. First, I’d like to begin with reflections on my plans to retire as President and CEO of Spire at the end of this calendar year. I have to say that leading Spire for the past 12 years has been the privilege of a lifetime. I am forever grateful for the opportunity to lead the Laclede Group, starting in 2011, and begin what would become a decade of growth. I’m proud to say that as a team, we successfully transformed our company into an industry leader. We started by establishing our company mission and culture, foundation that keeps us centered and strong. This foundation allowed us to develop our growth strategy that ultimately increased the scale of our utility business by investing in organic growth and expanding our portfolio of gas-related businesses. As you know, Spire now includes successful gas utility companies in Alabama, Mississippi and Missouri, along with expanding midstream businesses. As our second quarter results demonstrate having a diverse portfolio of natural gas businesses and different geography enhances our ability to consistently create value. All in all, over the past decade, we grew the company through acquisitions and expansions, ultimately increasing Spire’s enterprise value more than six-fold. And we continue to be diligent and executing our strategy, and in bringing value to our shareholders, customers and communities. We’ve done this all this while staying focused on the safety and reliability of our systems, reducing emissions, advancing innovation to better serve our customers and investing in our employees who are the heart soul of our company. For me, personally, my retirement represents the culmination of a wonderful career, spending more than 40 years in the natural gas industry. As you know, based on decades of experience in a global perspective, I believe that natural gas is a vital part of America’s energy future. And I’m energized to continue leading Spire through December and continuing to represent Spire and our national industry as the chair of the American Gas Association. In terms of what’s next for Spire, our board has initiated a thorough and comprehensive search including internal and external candidates. Candidates include those who will build upon our culture and position Spire continued long-term growth and success. Spire is a strong and well positioned company, a proven growth strategy. We have confidence in that strategy and in the ability of our experienced management team and employees to successfully execute on our plans well to the future. Now, I’ll pass the call to Steve Lindsey.
Steve Lindsey: Thank you, Suzanne. I’ll begin by acknowledging the outstanding work of our employees who continue their focus on maintaining safe and reliable gas delivery operations and excellent service to our customers. Their efforts and dedication are especially important and greatly appreciated during the winter heating season. Let me start with an update on capital investment. First half of fiscal 2023, Spire’s total CapEx was $308 million, with 95% going toward our gas utilities. Year-over-year, our utility spend increased 9%, with more than $200 million going towards upgrading our distribution pipeline infrastructure and to connect more homes and businesses to safe, reliable and affordable natural gas service. Based on our spend for the first half of the year, we reaffirm our FY 2023 capital investment target of $700 million. Our expected CapEx over the next 10 years remains $7 billion, with a focus on investment in our infrastructure to support system safety, reliability, customer additions that drive growth and an innovation in technology, enhanced customer service and experience, including advanced meters. We have upgraded 375,000 meters across our footprint since we began the program. Turning to the performance of our gas utilities in the second quarter, first and foremost, we delivered for our customers continued solid operating performance as we work toward our targets on key metrics for the year. Our gas utilities also delivered improved earnings and cash flow as new rates went into effect both Missouri and Alabama around the end of last calendar year, offset combined headwinds of warm weather and higher costs. We experienced a very warm winter across our gas utilities, which resulted in lower volumes and that impacted market. Temperatures were approximately 21% warmer than normal in last year. While we do have weather mitigation in our rate designs and largely worked in Missouri, was much less effective in Alabama to experience one of the warmest winters on record. In fact, temperatures were 26% warmer than normal for Spire Alabama and 12% warmer than last year. Weather mitigation mechanism uses actual degree days compared to a normal formula that does capture all the usage variation from weather, especially during very warm periods. Reminder, that weather mitigation also does not cover commercial and industrial customer usage, so we had some exposure there as well. Last quarter, we discussed the higher interest and O&M expenses, so let me provide an update on these costs. Interest costs increased in the second quarter, reflecting higher short-term rates combined with higher balances. In fact, short-term rates averaged more than 5% last quarter, up over 450 basis points in the second quarter of last year. Majority of the short-term debt balances carrying are tied to gas costs. Expect to recover current gas costs by the end of the calendar year, and we made progress toward this goal last quarter. On the cost side, we continue to control our O&M expenses to help offset the headwind we experienced in margins. We believe that moderating O&M increases and fully recovering our working capital balances will enable our utility financial performance to further improve fiscal 2024 [ph]. Let me provide one additional update on our utilities. During the last quarter, Spire Missouri filed for recovery of system upgrade investments for the October to February period. Missouri Public Service Commission approved $7.7 million in new ISRS revenues effective May 6 of 2023. Now, let me provide a quick update on our Midstream segment. First half of the year, we invested $17 million reflecting the spend in the first quarter expansion of Spire Storage. Preparations are underway this month to resume construction as spring begins in Wyoming. Project remains on schedule and on budget. I would note that there has already been strong commercial interest in the first phase of this additional capacity, which speaks to the increasing demand and market value of storage services. Also recently acquired Salt Plains, a small storage facility in Northern Oklahoma, 10 Bcf of working gas capacity, facility is valuable. In addition to our Midstream portfolio, we expect its operations to be accretive to net economic earnings. Next month, Spire will publish its 5th annual report on sustainability, reflecting continued progress in measuring our performance and impact as we work to become even more sustainable. Let me cover a few highlights for calendar 2022, starting with protecting the environment. The top chart on this slide shows based on our initial assessment, 2022 our gas utilities achieved a 50% reduction in methane emissions since 2005 and a 4 percentage point improvement over 2021. This reflects the cumulative investments that we made to upgrade our distribution network focus on leak reductions. In metric, we track regarding methane emissions reduction leaks per 1,000 system miles. Please note that in fiscal 2022, we saw another significant reduction. Our sustainability efforts also focus on how we care for people. This includes further strengthening our safety culture for the benefit of our employees and those they serve. Employee safety, as measured by the OSHA DART rate, continued to improve in fiscal 2022, with the rate of employee injuries decreasing 55% since 2018. Over the years, Spire has built a reputation for having a strong corporate governance, which was enhanced last year with our board assuming oversight for sustainability efforts and disclosures. With that, I’ll turn it over to Steven Rasche, for our financial review and update. Steve?
Steven Rasche: Thanks, Steve, good morning, everyone, and thank you for joining us today. Our fiscal second quarter, we reported net economic earnings of $199 million, a 10% increase from last year, driven by improved results from all our businesses, offset in part by higher corporate cost. Net economic earnings per share of $3.70, or 8% above last year. Walk through the segments. Gas Utility had earnings of $184 million, nearly 9% ahead of last year. As Steve just mentioned, we saw growth from new rates in Missouri and Alabama, which more than offset the headwinds of lower usage and higher interest expenses. Gas Marketing was well positioned to take advantage of market conditions to optimize its storage and transportation positions this quarter, posting earnings of nearly $22 million of 50% last year. Similarly, our Midstream earnings were ahead of last year, as storage was able to optimize its operations and withdrawal commitments. As I just mentioned, corporate costs were higher, primarily due to higher interest expense, a portion of which was incurred to finance our non-utility businesses. Slide 9 provides an overview of key variances for the quarter. We’ve already touched on contribution margin drivers, so here are a couple of other highlights. Gas Utility O&M expenses were up net of pension reclassification by $12 million due to: first, the roughly $6 million in Missouri overhead cost deferred in the prior year, but expensed this year; secondly, higher bad debt expenses of $3 million, reflecting principally higher commodity cost; and lastly, higher non-employee cost, especially third-party contractor expenses as we continue to focus on high customer service levels. Overall, Gas Utility O&M cost, net of bad debts and Missouri overhead treatment are expected to trend a bit lower than our 4% inflation marker as we focus on opportunities to control cost for rest of our fiscal year. Spire Marketing costs were also higher, representing mostly costs driven by higher margins. Another income was a turnaround from last year, up $8 million after reclassification driven by unrealized investment returns as well as interest carrying cost credits. Let’s take a closer look at our liquidity and interest expense. We have made substantial progress in paying down our short-term debt, with the quarter end balances down $665 million from December 31. This has been one of our focus areas, and we achieved this reduction through a combination of: first, improved operating cash flow, including reduction in deferred gas cost balances; second, terming out some of our debt needs, including $400 million in Missouri mortgage bonds, essentially advanced funding are pending $250 million maturity later this year and $150 million holding company private placement, remembering that we had a $25 million maturity that we paid off last December. I would note that both offerings were at net interest rates below current short-term rates due to our favorable hedging position coming into the year. I would also note that in April we paid down $150 million of our term loan and we anticipate retiring the remaining balance later this quarter. Looking forward, our interest expense run rate at the utilities will continue to decline as we collect gas costs the balance of this calendar year. As a reminder, we do get recovery on most of the utility interest expense either in rates in Alabama or through the Missouri carrying cost credits I just noted in other income. From a holding company standpoint, financing plan I just outlined supports our Marketing and Midstream businesses, and the plan matures at the Spire Inc. level in 2024. Now, turning to our outlook, we remain confident in our long-term net economic earnings per share growth target of 5% to 7% starting from the midpoint of our initial fiscal year 2023 guidance. Our growth is driven by utility rate base investments, and as Steve mentioned, we also reaffirmed both our current year and 10-year CapEx targets. We have narrowed our 2023 net economics earnings guidance range to $4.20 and $4.30 per share. As Suzanne mentioned, the benefit of a portfolio of natural gas businesses is the opportunity to create value and offset headwinds across our platform. So while the midpoint of our range remains the same. How we’re getting there has shifted a bit, due in large part to the results from winter. Going by segment, we are lowering our Gas Utility range to reflect the headwinds we discussed earlier, offset in part by cost discipline and a lower effective tax rate, reflecting principally earnings mix and the timing of tax credits. We’ve raised the ranges for both Gas Marketing and Midstream due to strong year-to-date results. Corporate cost moved up $5 million to reflect principally higher holding company interest cost. A couple of quick observations on financing. With new rates and a clear path of recovery of Utility Gas costs, we expect continued cash flow growth supportive of our FFO to debt target of 15% to 16%. We’ve also updated our long-term financing forecast to reflect actual capital issued this year, as well as reduced equity needs overall as a result of recycling the strong earnings from gas market. So, in summary, we’re on track with this year’s plans, perhaps in a little bit different way than we had anticipated 6 months ago. We’ve pivoted to ensure that we offset the headwinds this year and are well positioned to rebound in 2024 and beyond that. With that, let me turn it back over to you, Suzanne.
Suzanne Sitherwood: Thank you, Steve and Steve. In closing, we’re well positioned to continue growing and delivering stronger overall performance for our customers, communities and investors. Look forward to seeing many of you at the upcoming AGA Financial Forum in a few weeks. Till then, thank you for your continued interest and investment at Spire. We’re now ready to take your questions.
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] And the first question will be from David Arcaro from Morgan Stanley. Please go ahead.
David Arcaro: Hey, good morning. Thanks so much for taking my question. And, Suzanne, congratulations on your upcoming retirement.
Suzanne Sitherwood: Thank you very much, David. I appreciate it.
David Arcaro: Maybe starting there on the CEO search process, could you give just a sense of what the timing would be for a potential decision when you would anticipate concluding that, and any thoughts on just the likelihood of an internal versus an external candidate?
Suzanne Sitherwood: Like, as you know, the announcement was finalized [ph] that I retire at the end of the year, and the board has started a process, but I certainly don’t want to get over my skis in terms of the timing of all that, but work the process in a very methodical way. They obviously know the vision and strategy of the company, and they’ll be consistent in their search for what is best for the company. So, again, I don’t want to get ahead of them, but just know that I’m retiring at the end of the year.
David Arcaro: Got it. Thanks. That makes sense. And then also, just curious, at a higher level, there have been media articles about several gas utilities potentially coming to the market. I was just wondering what your latest thoughts are on M&A and consolidation more strategically.
Suzanne Sitherwood: Again, it’s great that there’s so much interest and, I guess, I would say gas assets. But I hate to be the person this morning to say we’re not commenting, but as you all know that are on the call, we don’t comment on these types of activities in the market, but from someone who’s been in the industry for 42 years, it’s always great to see ebbs and flows across those decades. I’ve seen a lot of change in this industry, from consolidation to deployment of technology to sustainability. And, I think, it’s very healthy for our industry to have these changes as decades go by. After 42 years, I have the ability to reflect and I think that’s a useful tool. But again, we don’t comment directly on these types of activities.
David Arcaro: Yeah, understood. Thanks. And then maybe one more on the full year guide, economic earnings was down $15 million or so at the Gas Utility segment. I was wondering how much of an impact was the lower margin at the gas utilities during the winter versus the prior guidance expectation, and then, how much was an incremental interest expense drag?
Steven Rasche: David, this is Steve. I’ll take a shot at that. We had a fairly full view of the interest rate and interest cost exposure coming into the quarter, so I don’t think it was much of a surprise, although with the warmer winter, there’s always a little bit less pull through in terms of paying down deferred gas costs. So the balances are riding a little bit higher than we had expected. So I would put that as a secondary consideration. It’s really the margins and as Steve mentioned in the prepared remarks, it’s really the margins down in Alabama. And both of our utilities are large utilities. We earn a majority of our earnings during the winter heating season and weather mitigation is designed to offset that. And in Missouri, it largely worked in Alabama, because of the way in which the weather pulled through, it did not. So that was the primary driver behind the rerate that you saw on the utility range. But again, we’ve got plans in place to offset that. Weather always reverts back to normal and still in a good spot from a cost standpoint. So, I think, we’re positioned well as we head into 2024 and beyond.
Steve Lindsey: The only part I would add to that, as I mentioned, is that even with weather mitigation that does not apply to commercial and industrial market. So when you have winter, it not only affects the residential, but also the others.
David Arcaro: Yeah. Okay, great. Thanks so much.
Steve Lindsey: Thanks, Dave.
Suzanne Sitherwood: Thank you.
Operator: And our next question is from Richard Sunderland from JPMorgan. Please go ahead.
Richard Sunderland: Hi, good morning, and thanks for the time today. Circling back on that last question, the O&M, I guess, really, let’s say the 2023 efforts and how you frame that for 2024. Could you parse that a little bit more in terms of what you’re focusing on and how much of that is in reaction to the weather headwinds this year versus longer term efforts really targeted around 2024 performance?
Steve Lindsey: Well, I can take the second part, because we have a long history of investing in technology, process improvement, et cetera, to offset normal inflation and create headroom in our customer bill, because we also acknowledge that we’re investing in rate based growth and we want to be always cognizant of the impact on our customer bill. All of those macro plans continue at pace. We’ve actually looked to push the accelerator to a few of those, given the warmer weather. But in the longer term, that’s always our goal is to offset as much of that discretionary cost if you want to use that the term as we can, just because we want to make sure that we’re being fair to our customer. In terms of this year, we’re continuing to look in every place that we possibly can to offset cost, that isn’t unusual. Across the space, whereas the winter started to unfold, it’s been record warm in many areas, including Alabama for us.
Suzanne Sitherwood: To your point, Steve, when the weather is warmer, it gives the operational teams more opportunity to look at some of those efficiencies versus when it’s unusually cold weather, by the way that Steve Lindsey and the team operate the company under those conditions is different. And like you said, there’s sort of a natural hedge there, if you will [here in the company] [ph].
Steven Rasche: And the last piece I’ll add is a little bit following up on Steve’s comments. We are on common platforms across all of our companies right now, which will allow us to really start to leverage some standardization around workload planning, around supply chain, around logistics. So think we’re in a good situation now as we move forward to really drive some strong cost management throughout all of our companies.
Richard Sunderland: Okay, got it. That’s helpful color there. Salt Plains, the $37 million investment, could you outline a little bit more about what’s attractive there? How you think about that asset relative to the Spire Storage expansion efforts? And is this indicative of a platform you’re looking to grow even further through additional acquisitions?
Steve Lindsey: Well, I’ll start, as we mentioned, it’s a very small asset, but we think it is well positioned and we think it’s going to help some of our other gas businesses in terms of what they can do going forward. I don’t think it’s directly connected at all with Spire Storage West, they’re independent facilities. Relative to the platform, I think, as Suzanne, Steve, and even myself have mentioned, we think having diverse gas businesses, as evidenced this year, create a little bit of a natural hedging effect. So, again, I don’t know that I would necessarily say it’s a platform enabler, but we looked at that opportunity as being something that, at least from our business perspective, made a lot of sense in the near-term, and we do expect it to be accretive going forward.
Richard Sunderland: Okay. Got it. Is there any further investment with Salt Plains, particularly, that you’re anticipating at this point?
Steve Lindsey: At this point, no. Again, we’re looking to go in and take advantage of some early opportunities in terms of the way it’s being operated and, again, looking for some leverage opportunities with our other businesses.
Steven Rasche: And Richard, I would add that and put our Spire Storage facility in the same position in 2025. Once we invest the capital, this becomes much more utility like in terms of dealing with customers. In fact, many of the customers are utilities and pipelines and, folks who serve those, and they’re on contracts that range in the industry from 3 to 5 years, and this facility is no different. So since we’re buying an existing operating facility without a lot of CapEx needs for expansion, it really is just plugging it in and giving our midstream team the opportunity to optimize the operations in that facility just like they are and will, as far as Storage West.
Richard Sunderland: Got it. Very clear. Thanks for the time today.
Suzanne Sitherwood: Well, thank you.
Operator: And the next question will be from Shar Pourreza from Guggenheim. Please go ahead.
Shar Pourreza: Hey, good morning, guys.
Suzanne Sitherwood: Good morning.
Steve Lindsey: Hi, Shar.
Shar Pourreza: Just a quick one on just inflation in O&M. Just about a half of your O&M increase in the quarter came from the overhead costs, which you were, of course, deferring last year, which is separate from just inflation in general. I guess, how should we think about this $6 million on a go forward basis? Any sort of special considerations or should we just treat it the same as all the O&M going forward? Thanks.
Steven Rasche: Yeah, it’s really costs that we’d already incurred that shifted into O&M. So we kind of take that out of the inflation that calculus for what it’s worth.
Shar Pourreza: Okay, perfect. That’s helpful. And just real quick, lastly, just on the higher interest cost, corporate drag was nearly $5 million in the quarter year-over-year. Obviously, you guys have been very clear about your planned equity issuances, you’ve done mortgage bonds, you’ve managed short-term debt needs really well, done some private placements. But any thoughts around sort of the cash pay and convert market that’s formed? Could you still see a benefit there? Thanks.
Adam Woodard: Yeah. Shar, this is Adam.
Shar Pourreza: Hi, Adam.
Adam Woodard: Yeah. Hi. We’re always interested in different interesting financing techniques. I wouldn’t say there’s anything on the horizon there, but it’s certainly an interesting trend that we’ve seen here so far this year.
Steve Lindsey: And Shar, as you know, there’s been a flurry of activity, including this week, and we do watch that closely. We perhaps to our benefit and the credit of Adam and the team entered this year in an extremely strong hedge position from an interest rate perspective. So, we all understand those in the industry that a convert actually does buy down the current interest rate versus just doing straight debt. I think, we got every bit of that benefit, but we did it in the hedge market in prior periods, so we were taking advantage of that this year. So the convert wasn’t really as attractive for us given that we already had a built in advantage that we wanted to take advantage of.
Shar Pourreza: Perfect. I appreciate it, and congrats on Phase 2. I appreciate it, guys.
Steve Lindsey: Thanks, Shar.
Suzanne Sitherwood: Thank you, Shar.
Operator: And the next question is from Paul Zimbardo from Bank of America. Please go ahead.
Paul Zimbardo: Hey, good morning. Can you hear me?
Suzanne Sitherwood: Yes, we can.
Paul Zimbardo: Excellent. Hey, good morning, team. Thanks so much for the time. I appreciate it. Hey, look, I suppose a couple of questions here, first off, just coming back to the guidance this year, obviously reracking things that had. In the composition, just looking forward to 2024 here and some of the knock-on effects, you guys coming off confident and kind of getting trued up here and specifically also reaffirming the 5 to 7 off 2023. Can you talk about maybe some of the puts and takes as you look forward in terms of some of the pressures that you’re experienced right now?
Steven Rasche: Yeah. And Julian [ph], this is Steve. We talked about a lot of those in our prepared remarks in terms of getting back on top of interest rates and especially on the deferred gas balances, which is a phenomenon that we and many in the industry are dealing with. And I think we have a clear line of sight to doing that. We continue to manage O&M cost, as we mentioned a bit earlier. So I think that’s another one of the places where I think we’re very confident as we go into next year. And the beauty of where we stand right now is that we’re not in any regulatory proceedings within our gas utilities, so we don’t need a go get. There’s no rate change that’s built into our thoughts as we think about 2024, because we have nothing on the horizon at this juncture. So those would be some of the clear things in my mind that position us well. And the capital markets activity that we completed this quarter in many ways actually takes some of the interest rate risk off the table going forward.
Steve Lindsey: Yeah, we’re relatively defensively postured on interest rates going forward from here. Bringing those balances down is certainly key, I think, that’s no different than most of our peers as well, and so feel pretty good about that 5 to 7 on a go forward basis.
Paul Zimbardo: Right. So maybe you said more specifically here with respect to the O&M, you feel like that’s pretty much entirely offset. And when you think about the composition, 2023 might have shifted a little bit, the 2024 composition, if you think about it that way, you’re able to get [line of cut out the O&M such that] [ph]. We should get back to the typical earned ROE trends that we’ve seen in the utilities.
Steve Lindsey: You broke up a little bit there at the end, but yeah, we feel like we definitely are focused on O&M and the pull through there. And as we kind of guided in that 4% range coming in, I think we have seen ability to get after that. We have a historical ability to get after that as well and feel good about same going into next year.
Paul Zimbardo: Got it. Excellent. And then just coming back to the balance sheet side of the equation super quickly, I noticed the Alabama point yesterday from Moody’s here. Can you talk a little bit more about just your commentary in the prepared remarks, at least alluded to an intact metrics and you talk about it in the slides, but can you talk a little bit about some of the plan here with respect to the subsidiary and overall financing plan?
Steven Rasche: Yeah. Thanks for noting the Moody’s report. We were very pleased to have Missouri come off of negative outlook and affirmation of our ratings. They did, as you mentioned, I think, go to a negative outlook on Alabama. It’s something that we had discussed with them before, was not a surprise, but I think you could take that report also as an affirmation of what our execution on our plan and towards our targets. And it’s something that we certainly stay close to both the agencies on that topic, And, again, feel we continue – I think you hear us continually restate those targets and progress towards those targets and that does get wrapped up into our progress around our equity plans as well, which we continue with, but again, still see that pathway towards our credit metric targets and feel pretty good about it.
Paul Zimbardo: All right. Excellent. I’ll leave it there. Suzanne, best of luck, it’s been a pleasure.
Suzanne Sitherwood: Thanks.
Operator: [Operator Instructions] The next question is from Christopher Jeffrey from Mizuho Securities. Please go ahead.
Christopher Jeffrey: Hi, everyone. Thanks. Maybe just two quick ones on Salt Plains. Just curious as far as the funding mix, I know it’s not a huge acquisition, but whether that changed from maybe your typical funding for the expansion, for example, and then also just how much that’s contributing to the guidance change for the Midstream business for 2023?
Steven Rasche: Yeah, I can take that, and good morning, Christopher. We typically guide, and I think it’s a good benchmark, that you can expect a 50-50 cap structure underneath the acquisition. And that was factored in to our updated financing guidance for this year. That’s really the strength of Spire marketing and the ability to recycle that capital so that offset that headwind and then some, as we look at the balance of this year, and as Adam mentioned, to stay on track to get our credit metrics to our targets. We do expect self claims to be accretive, it’s a small deal. So it does add a little bit to our accretion, but it’s typically the case in Spire world is in the stub year of acquisition, we do not include the year earnings for any newly acquired entity, including any transition cost in net economic earnings. And then it’s fully reflected in the first full year of operations. And we’ll deploy the same thought this year. So, short answer is no. It wasn’t factored into the range for Midstream this year, but you would fully expect it to be reflected in the update, when we launched [24 days] [ph].
Christopher Jeffrey: Great. Thanks. And then maybe just more generally as far as lower natural gas prices, just kind of wondering a timeline of when and how you expect to see the benefits coming through either on working capital or bad debt expense or even if it could maybe shorten the timeline on the deferred gas costs from last year. I don’t know if that’s possible, but if you could kind of just speak to that.
Scott Carter: Yeah, this is Scott Carter. I’ll take the first stab at that. But we’re already seeing the benefits of that as it works through the dollar cost average, our inventory and then our gas cost. Obviously, we’re working through some of the backlog of that with our Storm Uri costs that we’re recovering over years and then kind of the higher gas costs we saw last year. But it’s now in our plan, we’re seeing it. Obviously, you’re already seeing the impacts of bringing down some of our working capital. But going forward, as we work off those balances, again, we think we’ll get most of that done this year. You’ll start seeing that, then translate into lower bills will assume a line of sight of that will assume the market holds up, we’ll start being able to lower our gas cost raised to customers and then that translates into the bad debt. So you’ve got the complete lineage correct. And we’ll see that coming through pretty strongly, we believe, as we head into next calendar year.
Christopher Jeffrey: Great. Thanks, everyone. See you in AGA, and congratulations, Suzanne.
Steven Rasche: Thanks.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Scott Dudley for any closing remarks.
Scott Dudley: Thank you, all, again for joining us. We’ll be around the rest of the day for any follow-ups. We look forward to seeing many of you at AGA in a couple of weeks. Thanks for joining.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.